Operator: Hello and welcome to Universal Logistics Holdings Third Quarter 2023 Earnings Conference Call. [Operator Instructions] During the course of this call, management may make forward-looking statements based on their best view of the business as seen today. Statements that are forward-looking relate to Universal’s business objectives or expectations and can be identified by the use of the words such as believe, expect, anticipate and project. Such statements are subject to risks and uncertainties and actual results could differ materially from those expectations. As a reminder, this conference is being recorded. It’s now my pleasure to introduce your host, Mr. Tim Phillips, Chief Executive Officer; Mr. Jude Beres, Chief Financial Officer; and Mr. Steven Fitzpatrick, Vice President of Finance and Investor Relations. Thank you. Mr. Phillips, you may now begin.
Tim Phillips: Thank you, Nick and good morning and welcome to Universal Logistics Holdings 2023 third quarter earnings call. Third quarter was a tale of two tapes. Our Contract Logistics Group navigated late-quarter market disruption with outstanding performance, while headwinds continue to hamper our intermodal and brokerage segment. Our Truckload segment outperformed expectations with a strong showing from its specialized services group. I am extremely proud of our employees, contractors and agents who continue to provide superior customer service to our diversified customer base. While individual segments of ULH are facing various challenges, our experienced management team has been able to adjust and shine the light on best practices with the path forward for our associates and customers. We continue to make headway in the electric vehicle space with various automotive manufacturers. Major investments in this space will shape the future landscape of the automotive industry. Understanding the changing landscape, Universal will continue to invest in technology and human capital to address these future needs. There will be challenges along the way such as the current UAW strike at the Big 3 and Mack Trucks. While not immune from the impact of striking locations, the majority of our contracts do contain fixed and variable pricing components, which helps us absorb some of the shock of these unpredictable events. We understand labor is searching for their footing in a changing environment, but remain hopeful an agreement can be reached with all in the near future. Our Transportation & Logistics segment performance looked very similar to Q2 with Transportation continuing to experience the adverse impact of inventory destocking as customer demand for goods remains tempered. Falling in line with demand, transportation pricing also remains under pressure with our transactional business still bumping what we hope is at or near the bottom of the cycle. Our Contract Logistics segment has continued to see a good flow of new opportunity and have not experienced the same level of rate compression that our brokerage, intermodal and truckload groups that have experience. Leadership remains focused on evaluating and supplying our customers with the best pricing while keeping a keen eye on continued quality commitments in an inflationary environment. Our diversified operating footprint continues to produce balanced operating results. Contract Logistics and the variable cost agent-based truckload model delivered great results. We remain confident in the foundation of our intermodal and brokerage segment. We are pulling levers while searching for additional cost containment and savings under the current market conditions. Our pipeline of new customer prospects remains robust as well as the cross-selling initiatives with current customers. Our sales team has worked extremely hard identifying these customers and introducing new services. We are extremely pleased with the synergies we have found by linking services. Universal remains committed to providing our bad customers with superior service across multiple platforms helping them gain better control of their supply chain. The outlook for autos and Class 8 trucks remains optimistic. While there is some near-term uncertainty with labor and pressure from rising interest rates, production forecast remains stable. Diversification continues to be a theme for all of our operating sectors as it will provide additional balance and new growth opportunities. We remain committed to climb out of the freight recession as import numbers remain muted and domestic freight volumes are restricted. Discipline and execution are critical over the next several quarters. Now for the quarter. In yesterday’s release, Universal reported 2023 third quarter earnings of $0.88 per share on total operating revenue of $421.3 million. Both operating margin and revenue were in line with our Q3 forecast. Q3 2022 offered tough comparison as it was Universal’s best operating margin and EPS ever. Now for some color on each of our service lines. In our Contract Logistics segment, the number of active value-added programs continued to increase and finish the quarter at 73 programs. Interest in our customer-centric value-added programs continues to grow across a variety of industry verticals. We are confident and eager to display our existing solutions and processes to new customers who are looking for operational efficiencies, tech solutions and cost base. Other than a few strike restricted facilities, auto production remained consistent through Q3, but with a sporadic 6-day work week. We did experience some loss of volume at the end of the quarter due to our operations matching up with the auto facilities that are on strike. We are actively watching and remain nimble to any developments affecting production. The SAR remained elevated over the same quarter last year. The outcome of Q4 production will be influenced by the resolution of the ongoing strike at the three American auto manufacturers. 2023 Class 8 production levels continue to exceed 2022 volumes, with a forecasted production strength for the remainder of the year. 2023 Class 8 production should be in the neighborhood of 336,000 units versus 315,000 units in 2022. While there are some disruptions due to part shortages, production volumes at the plants we service surpassed Q3 2022 production volume. We are closely monitoring the ongoing negotiations between Mack Mobile and the UAW. We are excited about our pipeline that continues to remain full of opportunities in various industry verticals. We have remained busy launching several new pieces of business in Q3 and had several more launching in Q4. An October launch will support operations for an automotive manufacturer in mid-Mexico. Universal remains focused on the opportunities that Mexico presents. Nearshoring trends have now elevated Mexico as United States’ largest import trading partner. The Dedicated Transportation Group continues to onboard new business and execute taking advantage of a high-volume platform to satisfy complex and demanding inbound material environment. We continue to highlight our velocity model, which is a fabulous entry into additional opportunities for existing customers and a great case study for new customers looking for the next level of execution and service. Revenue for the quarter was up slightly, but same facility sales were down as a result of softer revenue in the automotive space. a lack of 6-day service and a few part disruptions were to blame for the reduced revenue. Offsetting this were a few new business wins. Dedicated also spent the latter half of the third quarter, preparing for a major launch in Mexico at the beginning of October. We are extremely excited about adding to our density in mid Mexico. We were successful in obtaining new trucks and trailers to support the customer and expect this to be entry into additional business in the region. The program will layer in over a 5-week period and be supported by 40 drivers and 60 trailers. At full run rate, this new business is expected to generate approximately $6 million in annual revenue. This opportunity is a great example of multiple universal service lines working together to create additional value for our customers. The dedicated group will round out Q4 with a major launch in the Southeastern U.S. for a manufacturer of agricultural equipment. Preparation is underway to support the facility housing over 20 drivers and a large pool of trailing equipment. We expect to be launched and at full run rate in Q1 of 2024. Our intermodal drayage group continues to navigate a restricted import environment. We did see a slight seasonal bump in the quarter, but nothing that could be considered peak. U.S. import volumes remain muted at most major ports as shippers continue their inventory destocking cycle. The narrative among many shippers remains the same. They are very hesitant to predict the next two quarters as they continue to dive in on the customers’ appetite to spend. We’ve had conversations with some major discount retailers who expect a slight uptick in volume with many industrial customers expecting flat to orders being down. The sluggish import environment continued to restrict overall load volumes in the quarter, which fell 11.8% and contribute to a 43.9% and decline in top line revenue over the same period of 2022. Accessorial charges continued their steep decrease as ocean volumes remained in a deficit and supply chains were fluid. Accessorial charges declined over 68% or $21.4 million. The average revenue per load ex fuel was down 24.7% to $547 per load as the market remained extremely competitive. Intermodal’s California operations continue to be a drag on the segment’s overall financial results. While non-California operations operate profitably, albeit at reduced margins. California load volumes remained depressed, down 13.6% over the same period in 2022, and while revenue per load was down 35.6%, which contributed to a 57% decrease in operating revenue. While we are confident in our continued effort to rightsize and optimize the fleet, freight volumes and pricing will play a part in that equation. Losses in Southern California affected our overall EPS by $0.19 per share. We remain optimistic about our growing intermodal pipeline, while there is an abundant amount of opportunity, the pricing is extremely competitive. Q3 proved to be a successful quarter for launching new business. We had 10 new projects with various customers. onboarded and launched in Q3 and expect positive impacts of load count in the coming months. The group will continue streamlining of operations and evaluating cost control initiatives while focusing on servicing our customer base. And preparing for the climb when volumes increase. Van and flatbed headwinds continued in Q3 for our Trucking segment, but wind transportation experienced a 15.6% uptick in loads for the quarter. Metals, industrial, retail and consumer goods volumes were down – were all down year-over-year. Overall, load count was down 13.1% and but the rise in wind volumes led to a 13.3% increase in revenue per load. Our agent-based brokerage experienced a significant drop off in brokerage load which were down over 25.6% compared to 2022. Top line revenue of $97.1 million was down 2.5% for the quarter while operating income increased $1.8 million to $6.6 million compared to $4.8 million last year. While core flatbed and van volumes remain a challenge, the variable cost structure model provided consistent returns. Our truckload model continues to provide agents with tools and leadership to grow the business. We’re excited about the prospects in our pipeline and are eager to continue to launch talent into the system. We remain diligent on finding and onboarding new agents and customers. Company-managed brokerage saw top line revenue dropped 30.8% in the quarter to $28.1 million as sluggish freight market influenced by inflation and customer – consumer spending continued to drive down pricing. The group is experiencing many potential opportunities that has remained disciplined with pricing. Many opportunities are at or below breakeven from a profit standpoint. We continue to align our pricing and selection of freight to give the operations team the best opportunity to make money on everything we do. We are not interested in pricing freight to increase volume at a substantial loss. Depressed pricing, coupled with increased carrier operational costs has made the model very difficult to reach gross margin expectations. However, you are beginning to see some of the fallout in the space because of margin compression. Operating revenue per load decreased 11.1% to $1,475 per load, and the load count was down 12.3%. Gross margin increased over Q2 2023, but was well below Q3 of 2022. The third-party capacity is available, but it is coming at a higher cost because of inflation. We continue to remain extremely optimistic about our future. while near-term inventory and inflation issues have created some obstacles, our road map to diversification and growth is measurable. Our sales pipeline across all segments is healthy, our contract logistics offerings continue to show well and spark enthusiasm with potential and existing customers. Adding value to our customer supply chain is our number one priority. Finally, I would like to reiterate my appreciation to all of Universal’s hardworking associates. Your commitment to training, learning and servicing the customer truly makes a difference. I’m pleased with our overall Q3 performance driven by our diversified portfolio of services, which continue to provide value to our customers, shareholders and associates. I would now like to turn the call over to Jude for a detailed view of our financial performance. Jude?
Jude Beres: Thanks Tim. Good morning everyone. Yesterday, Universal Logistics Holdings reported consolidated net income of $23 million or $0.88 per share on total operating revenues of $421.3 million in the third quarter of 2023. This compares to net income of $48.5 million or $1.84 per share on total operating revenues of $505.7 million during the same period last year. For comparison purposes, please note the third quarter of 2022 was the peak of the trucking cycle for Universal and reflected the highest ever reported results in our history. Consolidated income from operations was $36.8 million for the quarter compared to $69.8 million 1 year earlier. EBITDA decreased $27.6 million to $56.7 million, which compares to $84.4 million during the same period last year. Our operating margin and EBITDA margin for the third quarter of 2023 are 8.7% and 13.5% of total operating revenue. These metrics compare to 13.8% and 16.7%, respectively, in the third quarter of 2022. Looking at our segment performance for the third quarter of 2023, in our Contract Logistics segment, which includes our value-add and dedicated transportation businesses, income from operations decreased $300,000 to $35.1 million on $208.1 million of total operating revenues. This compares to operating income of $35.4 million on $209.5 million of total operating revenue in the third quarter of 2022. Operating margins for the quarter were 16.9%, matching last year’s margin, which was also a record in our Contract Logistics segment. On to our Intermodal segment, operating revenues decreased $67.8 million to $86.6 million compared to $154.4 million in the same period last year. And income from operations decreased $32.5 million to an operating loss of $4.3 million. This compares to operating income of $28.1 million in the third quarter of 2022. Operating ratios for the quarter were 105% versus 81.8% last year. As mentioned in Tim’s comments, our Intermodal segment’s operating results were negatively impacted by operating losses in our West Coast operation. For the quarter, California drayage operations lost $6.5 million impacting segment margins by 750 basis points and consolidated results by $0.19 per share. In our Trucking segment, operating revenues for the quarter decreased $2.5 million to $97.1 million compared to $99.6 million in the same quarter last year, while income from operations increased $1.8 million to $6.6 million. This compares to operating income of $4.8 million in the third quarter of 2022. Operating margins for the quarter were 6.8% versus 4.8% last year, supported by the strong performance from our wind energy business. In our Company-Managed Brokerage segment, operating revenues for the quarter decreased $12.5 million to $28.1 million compared to $40.6 million in the same quarter last year. And income from operations decreased $2.1 million to an operating loss of $1.1 million. This compares to operating income of $1.1 million in the third quarter of 2022. Operating margins for the quarter were negative 3.8% versus a positive 2.7% last year. On our balance sheet, we held cash and cash equivalents totaling $16.8 million and $10.5 million of marketable securities. Outstanding interest-bearing debt net of $4.8 million of debt issuance costs totaled $387.2 million at the end of the period. Excluding lease liabilities related to ASC 842, our net interest-bearing debt to reported trailing 12-month EBITDA was 1.63x. Capital expenditures for the quarter were $112.3 million, including $80 million for the acquisition of a strategic terminal in California. For 2023, we expect capital expenditures to be in the $235 million range and interest expense to be between $20 million to $25 million. Based on the current operating environment, for the fourth quarter of 2023, we are expecting top line revenues between $350 million and $375 million and operating margins in the 7% to 9% range. If the UAW strike continues longer than anticipated or expands to additional operations we support, we will update our guidance during the quarter. Finally, Wednesday, our Board of Directors declared Universal’s $0.105 per share regular quarterly dividend. This quarter’s dividend is payable to shareholders of record at the close of business on December 4, 2023 and is expected to be paid on January 2, 2024. With that, Nick, we are ready to take some questions.
Operator: [Operator Instructions] First question will be from Bruce Chan of Stifel. Please go ahead.
Matt Milask: Hi. Good morning team. This is Matt Milask on for Bruce. Just wanted to – I know you mentioned in the prepared remarks, you saw some volume attrition resulting from UAW late in the quarter. I just wanted to know if you could provide any more color as to what’s going on there and if you think the rate of disruption might change meaningfully going into next quarter. Thanks.
Tim Phillips: Yes. Matt, this is Tim. Yes, we did see some disruption coming out of the third quarter as individual plants went down week-after-week. I think they made a difference tailing out of the quarter in the operating results, and we will carry some of that into the beginning of the fourth quarter. It is our hope because we are not in the negotiations that there would be a near-term resolution to it. And you saw one of those of the big three come out with this week, and we are hoping that the others follow suit. So, I think that was taken into consideration also as we looked at what we thought our fourth quarter performance was going to be.
Matt Milask: Okay. Fair enough. Secondly, could you provide just sort of your maybe general outlook for the industrial economy moving into next year?
Tim Phillips: Yes. The general outlook from what we know and what we have heard from our customer base, if I start on the over the road or the truckload transportation group, we know that in steel and some of the industrial equipment that we traditionally move on, flatbed did take a dive in the third quarter. We expect that to remain kind of the picture or the roadmap at least in the fourth quarter heading into Q1. If I look beyond just the domestic transportation, from an international standpoint, we definitely saw a slowdown in some of the industrial type of products that we import. Well, we move that is imported into the country. So, I expect that kind of aligns with it from our customer base that the industrial space will continue to see a slower type environment. I can’t predict next year exactly, but I would think that Q4 and Q1 will experience some headwinds.
Matt Milask: Okay. Great. Thanks for the color. And lastly, would you be able provide sort of the new normalized earnings power bogey for the company at this point? Thanks.
Jude Beres: Hey. This is Jude. So historically, we have talked that in a normal operating environment, we should be around $1 a share a quarter. But obviously, we don’t have a normal operating environment, right, in the middle of a freight recession and of course, the headwinds that we are now experiencing with UAW. But you kind of saw last year, I mean we had peak earnings of over $6 a share. So, that would probably be the ultimate earnings power of the company at this point for our scale at the current size that we are. But I mean $1 a share, we think is kind of a baseline in a normal operating environment with upside from there.
Matt Milask: Great. Thanks a lot.
Tim Phillips: Thank you.
Operator: [Operator Instructions] This concludes our question-and-answer section. Now, I would like to turn the call back over to Mr. Tim Phillips for closing remarks.
Tim Phillips: Thank you, Nick. The current landscape presents some challenges, but with disruptions will come opportunity. Universal will be positioned to take advantage of these opportunities. I appreciate everyone calling in and I look forward to talking to you again for the Q4 earnings call in February of 2024. Thank you and have a great day.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.